Operator: Good day and thank you for standing by. Welcome to Q4 2023 Materialise Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I would like now to turn the conference over to our first speaker today, let me please introduce Harriet Fried of LHA. Please go ahead.
Harriet Fried: Thank you everyone for joining us today for Materialise’s quarterly conference call. With us on the call are Brigitte de Vet, Chief Executive Officer; and Koen Berges, Chief Financial Officer. Today’s call and webcast are being accompanied by a slide presentation that reviews Materialise’s strategic financial and operational performance for the fourth quarter of 2023, as well as the year 2023 as a whole. To access the slides, if you have not done so already, please go to the Investor Relations section of the company’s website at www.materialise.com. The earnings press release that was issued earlier today can also be found on that page. Before we get started, I’d like to remind you that management may make forward-looking statements regarding the company’s plans, expectations and growth prospects, among other things. These forward-looking statements are subject to known and unknown uncertainties and risks that could cause actual results to differ materially from the expectations expressed, including competitive dynamics and industry change. Any forward-looking statements, including those related to the company’s future results and activities, represent management’s estimates as of today and should not be relied upon as representing their estimates as of any subsequent day. Management disclaims any duty to update or revise any forward-looking statements to reflect future events or changes in expectations. A more detailed description of the risks and uncertainties and other factors that may impact the company’s future business or financial results can be found in the company’s most recent annual report on Form 20-F filed with the SEC. Finally, management will discuss certain non-IFRS measures on today’s call. A reconciliation table is contained in the earnings release and also at the end of the presentation. And now, I’d like to turn the call over to Brigitte de Vet. Brigitte?
Brigitte de Vet: Good morning and good afternoon, and thank you everyone for joining us today. I’m very pleased to present our quarter four and full year 2023 results today. You can find the agenda for our call on slide three. Now, as you know, I took over the role of the CEO of Materialise on January 1st. So before we go into the official agenda, I actually will start sharing my first observations six weeks into this role. I will then summarize the highlights of our financial results for the fourth quarter and the full year 2023 and I will dive deeper into some key achievements we realized in the past year. Then I will pass the floor to Koen, who will go in more detail through our fourth quarter numbers. Finally, I will come back and explain what we expect 2024 to bring. When we’ve completed our prepared remarks, we’d be happy to respond to questions. So to start with, over the last couple of weeks, I’ve spent a lot of time listening and learning from customers, partners, industry stakeholders and our employees at Materialise. First, let me reflect on what I heard about the market for additives manufacturing. As you know, 2023, and in particular Q4, has been a challenging year for many players in this market. Rising geopolitical instability in combination with increased economic uncertainties and high interest rates made companies more hesitant to invest in new technologies, while R&D efforts were often also reduced, resulting in less prototyping demand. That being said, the fundamentals of the market are sound, driven by the demand for flexible, sustainable and cost-effective production methods. AM is the go-to technology for prototyping and this market is very mature. At the same time, the shift from prototyping to end-use product is well underway and additives manufacturing is being adopted in more and more sectors and applications. So this shift is especially clear in end-use parts that are customized, such as the personalized products for Medical applications, and as the adoption of personalization increases, this market will continue to grow. Next to this, we are also seeing an increased adoption of additives manufacturing for serial end-use parts. We can clearly see this, for example, in the aerospace sector. Aerospace is a good example where leading companies have adopted 3D printing as a critical competence to maintain their competitive edge in the industry, enabling the production of parts that could not be traditionally manufactured. AM allows for the creation of more robust, reliable structures that are both cost and weight efficient, and it speeds up the design and manufacturing process. Moreover, AM aligns with the commitment of leading players in this segment to sustainability by using less energy and resources, creating fewer emissions and allowing for easier recycling and reuse of waste materials. And as the technology matures, we will see more and more meaningful applications of AM and we believe this market is bound to continue to grow. Now, talking to many customers, partners and industry stakeholders, it is clear that Materialise is a leading player in this AM industry. We are strategically well-positioned with our deep knowhow, the thorough understanding of the customer needs and the unique combination of Software, Hardware and Mindware. We are well-placed to drive and benefit from the market trends that I just described. First, as additive manufacturing is increasingly used for serial end-use parts, I believe we are well-placed to benefit with our Software suite, enabling efficient, high quality AM operations at scale and with our differentiating printing services, enabling companies making the shift to end-use parts. And second, as the adoption of personalized end-use products increases, we will see growth in our Medical and Wearable business. Now, looking specifically at our results for 2023, summarized on page four, we can see this potential reflected in our 2023 numbers. Despite the difficult market conditions that I referred to, we grew our revenue over the year by 10% with growth across all segments. Our total revenue increased 10.4% to €256.1 million. Our adjusted EBITDA increased 65% to €31.4 million from €19 million in 2022. Net results turned into a net profit of €6.7 million from a net loss of €2.2 million in 2022. And our cash position as of year-end was €127.6 million. Now, for the fourth quarter specifically, our revenue increased 4.1% to €65.3 million. Deferred revenue for maintenance and licenses fees grew to €44.9 million and adjusted EBITDA almost doubled to €8.5 million or 13% of revenue. Net loss was minus €0.5 million or minus €0.01 per share, including the impact from impairments on goodwill, tangible and intangible assets of minus €4.2 million. Koen will elaborate further on these results in his remarks later in this call. Moving to slide five, I would now like to share some specific highlights per segment, starting with our Software segment. Our Software suite is an essential toolkit in the AM industry and with the additions and improvements made in 2023, we are helping to accelerate the shift to end-use products that I described. Our CO-AM platform plays a particularly critical role in this shift, as it enables companies to run AM production at scale. Throughout 2023, we have continued to onboard partners and add functionality to CO-AM. In the fourth quarter alone, we announced important partnerships with HP and Ansys, and we added functionality that helps monitoring production and ensures the quality of parts. Also for Magics, we have released new functionality specifically targeted at metal production, which obviously plays a critical role in the production for end-use parts. And last but not least, we released the next-generation of our Build Processors, massively increasing machine performance and ultimately reducing cost of parts, critical in the adoption of AM in the production of end-use parts. This continued investment in the Software segment strengthens our future position in the market for end-use parts even further and while the topline growth in 2023 was soft due to the general economic uncertainty, we feel well-positioned for the moment when the market recovers. Continuing now with our Manufacturing segment, our AM services are a well-established provider of prototyping services and we continue to perform well in this market despite a very challenging environment due to the macroeconomic and geopolitical uncertainty. At the same time, AM services can help customers make first steps into AM for end-use parts, and this market is growing in selected segments such as aerospace, medical equipment and wearables. Realizing that there’s a growth opportunity for us in this market, we have established our certified manufacturing services, offering customers documented and validated parts production, which clearly differentiates us in the market. As one of the largest and most complete AM facilities in Europe, we are well-versed in scaling production to the next level for our customers. With a comprehensive range of production-grade materials and technologies, a team that knows how to use them, polymer and metal competence centers, and more, we can fully support customers that want to embrace AM for end-use products. And while the second half of 2003 [ph] was challenging, given the market circumstances, we are proud to have made progress in some of the key market segments, such as the aerospace segment, where we announced a number of important partnerships. For example, with GKN Aerospace, a leading multi-technology Tier 1 aerospace supplier, and later in the year, a three-year partnership -- a three-party partnership with Proponent, a large independent aerospace distributor, and Stirling Dynamics, a certified aerospace design organization. In those partnerships, we will leverage the combined expertise to enhance the adoption of 3D printing for finer parts in the aerospace industry. We also continue to make investments in our Motion and Eyewear business, positioning us for revenue growth in the future in the wearable segment. Last but not least, I want to talk about some highlights of our Medical segment. As Koen will show in the numbers, we continue to see very healthy growth in our Medical segment. We have now surpassed the threshold of €100 million revenue and while we felt the impact of the difficult economic climate in the software sales towards medical device companies, as they reduced their R&D programs and postponed investment in additional software licenses, we continued to grow the number of cases delivered to patients around the world and managed to increase revenue by almost 20% for the full year. In addition, we made progress in some of our strategic programs, positioning us very well for the future growth. In particular, I would like to highlight the opening of our metal manufacturing plant in the U.S. This is a significant milestone, as it will enable us to further reduce our lead times to deliver cases, opening up new markets, such as the use of personalized products for trauma patients. These patients cannot afford to wait for weeks to have the product delivered. I would also like to highlight the limited launch of Mimics Flow, a case management solution now offered to hospitals to streamline and organize their point-of-care 3D printing labs. As the adoption of 3D printing in hospitals at the point-of-care increases, customers need a tool to handle this increased amount of cases in an efficient way to collaborate in an easier way between clinicians, 3D lab leaders and engineers and to enforce quality management within their 3D workflows. This is what Mimics Flow does, thereby enabling and accelerating the increased adoption of personalization. It is an extension of our offering and will provide growth opportunities in the future. It is a limited launch, as we will take the year 2024 to learn more about the potential of Mimics Flow and expand the launch to other segments in 2025. In summary, our Medical segment illustrates the potential of a smart combination of Hardware and Software with the thorough understanding of the customer’s needs. Now over to Koen for more details on our financial results.
Koen Berges: Thank you, Brigitte. I’ll begin with a brief review of our consolidated revenue on slide six. As a reminder, please note that unless otherwise stated, I will discuss fourth quarter and full year 2023 results to comparable periods of 2022. In the last quarter of the year, we increased our revenue by 4.1% to €65.3 million. Less favorable market conditions continued and mainly impacted our Manufacturing segment and to a lesser extent also our Software segment, resulting in a revenue decrease of 2% and 4%, respectively. Materialise Medical, on the other hand, continued to grow by double digits and increased its revenue by 15%. Materialise Software accounted for 17% of our total revenue, Materialise Manufacturing for 40% and Materialise Medical for 43%. Deferred revenues from Software maintenance and license fees grew again in the last quarter of 2023 by €4.8 million, bringing the total amount carried on our balance sheet to €44.9 million at the end of the year. For a full year, our revenue grew to €256.1 million, representing an increase of 10.4% compared to 2022. We saw growth in all three of our business segments during the year, with largest growth coming from Medical, which posted a 20% year-on-year growth rate. Our Manufacturing segment grew its revenue by almost 7% and software by 2%. Moving now on to slide seven, you will see our consolidated adjusted EBITDA numbers for the fourth quarter, as well as for the full year. Consolidated adjusted EBITDA for the fourth quarter amounted to €8.5 million, doubling from the €4.3 million in 2022. Our adjusted EBITDA margin reached 13%, compared to 6.8% the prior year. Full year adjusted EBITDA ended at €31.4 million, compared to €19 million in 2022, representing an increase of 65%. Our adjusted EBITDA margin for the full year reached 12.3%, compared to 8.2% last year. Slide eight summarizes the results of our Materialise Software segments. In the fourth quarter, Software revenue decreased as mentioned by almost 4% to €11.3 million, but included more revenue deferral. Our recurring revenue from Software maintenance and license sales, including CO-AM, increased again by 5%. On the other hand, non-recurrent revenue further decreased by 16%, driven by the transition from perpetual license sales to cloud and subscription-based agreements, but also by lower demand from OEM machine sales. Adjusted EBITDA increased to €1.3 million, representing an adjusted EBITDA margin of 11.2%. On a full year basis, our Software segment increased its revenue by 2% to €44.4 million, which translated into a significantly higher adjusted EBITDA of €7.5 million, representing an adjusted EBITDA margin of 16.8%. Moving now on to slide nine, you will notice that the quarter’s total revenue in our Materialise Medical segments increased 15%. This solid growth rate was realized both by medical software and by revenue from medical device sales, which grew respectively by 13% and 16%. Adjusted EBITDA grew to €9.4 million, compared to €6.4 million last year. The EBITDA margin increased to 33.6% as a result of scaling effects. On a full year basis, our Medical segment surpassed the €100 million threshold, realizing now €101.4 million of revenue, which is being translated into an adjusted EBITDA of €26.5 million, representing an adjusted EBITDA margin of 26.2%. The share from medical software revenue remains stable around 31% of the total segment’s revenues, but due to the software sales as explained by Brigitte earlier, less software revenue was deferred to future periods compared to the prior year. Now let’s turn to slide 10 for an overview of the performance of our Materialise Manufacturing segments. In the fourth quarter, Manufacturing continued to operate in a difficult market environment with lower prototyping demands. As a result, thereof, revenue decreased by 2% to €26.2 million. Accordingly, also adjusted EBITDA dropped to €0.6 million at an adjusted EBITDA margin of 2.1%, compared to 5.6% margin last year. On a full year basis, Manufacturing still grew its revenue by 7% to €110 million, realizing €7.5 million of adjusted EBITDA, which represents an EBITDA margin of 6.8%, slightly down from 8% in the prior year. Slide 11 provides the highlights of our income statement for the fourth quarter and the full year. For the fourth quarter of 2023, our gross profit margin was 57.5%, up from 56.9% last year. For the full year, the margin was 56.7%, again up from 55.5% over 2022. Continued cost focus helped us to reduce our operating expenses also in the fourth quarter by €2.5 million or 6.5% compared to last year’s quarter. For the full year, operating expenses are in the aggregate 1.4% lower than prior year. Our net operating income was negative in the quarter by €3.3 million, compared to a positive €0.6 million last year. This quarter included nevertheless a non-recurring impact of €4.2 million for impairments related to goodwill, tangible and intangible assets of engine plant in Brazil and of Materialise Motion. As a result of these elements, the group’s operating result was negative in the quarter by €1.1 million, compared to a loss of €1.5 million in last year’s period. For the full year, the operating result was positive though, by €5.6 million, compared to a loss of €2.9 million last year. In Q4, net financial expenses amounted to €0.2 million, including a currency exchange loss of €1 million, mainly reflecting the changed U.S. dollar-euro position, interest income of €1.3 million from our cash reserves and interest expense on our financial debt of around €0.4 million. Income tax in the quarter amounted to a positive effect of €0.8 million, compared to €0.4 million last year. Net loss for the fourth quarter was €0.5 million, representing a minus €0.01 per share, compared to a net loss of €4.6 million or €0.08 per share for the 2022 periods. For the full year, we realized a net profit of €6.7 million, resulting in €0.11 per share, compared to a net loss of €2.2 million or minus €0.04 per share last year. Now please turn to slide 12 for a recap of balance sheet and cash flow highlights. Also in the fourth quarter of 2023, our balance sheet remained strong. Our cash reserve amounted to around €128 million at the end of the year, compared to €141 million at the end of 2022. Loan repayments of €17 million reduced our gross debt to €64 million. Our resulting net cash position at the end of the year hence was €63 million, up by €3 million compared to a year earlier. Cash flow from operating activities for the full year amounted to €20.2 million, compared to €22.3 million last year. A higher contribution from P&L components was offset by growing working capital requirements. Capital expenditure for the quarter amounted to €2.5 million and to €11.8 million for the full year. None of these were externally financed. And with that, I’d like to hand over the call to Brigitte again.
Brigitte de Vet: Thank you, Koen. Now let’s turn to page 13 to take a look at the outlook for 2024. In 2024, we expect the uncertain macroeconomic and geopolitical environment to continue, at least for a large part of the year. In this environment, it remains important that we stay focused on our key priorities. First of all, it is critical that we maintain the momentum in our Medical segment through continued product innovation and leveraging our manufacturing facility in the U.S. to deliver cases with shorter lead times and address those new market segments that I talked about earlier. Second, in our Software segment, we need to remain focused on capturing the growth opportunities, in particular in the market for end-use parts. And last but not least, in our Manufacturing business, we need to capture the growth in selected market segments in order to drive revenue in 2024. And as part of this plan, we will open the new manufacturing plant for ACTech towards the end of this year to capture the opportunities we see in casting. I’ll conclude my remarks on slide 14 with a discussion of our full year 2024 guidance. We expect revenues in 2024 to be in the range of €265 million to €275 million, representing a healthy growth despite the continued uncertainty of the macroeconomic and geopolitical environment. With our guidance reflects this uncertainty, we believe Materialise is ideally positioned in the market for additive manufacturing software and services in the market for personalized products. Thanks to our strong product portfolio, our continued investments in innovation and our strong financial foundation. We expect growth in all three of our segments. The growth of our Materialise Software revenue will be further temporarily impacted by the transition towards a cloud-based subscription business model that we are continuing to implement. As you will have noticed going forward, we will be providing guidance on adjusted EBIT. We believe our consolidated adjusted EBIT is a more useful guidance measure as it includes the periodic cost of capitalized tangible and intangible assets used in generating revenue in our business, and as such, will allow for a better assessment of our expected performance and profitability. However, we will continue to report the segment adjusted EBITDA of our three business segments. The expected revenue growth will result in an adjusted EBIT, which we currently anticipate to total between €11 million and €14 million for 2024. This guidance reflects our stride towards profitable growth in what we believe will remain an uncertain macroeconomic and geopolitical environment. This concludes our prepared remarks. Operator, we’re now ready to open the call to questions.
Operator: Thank you. [Operator Instructions] The first questions come from Jacob Stephan with Lake Street Capital Markets. Your line is now open.
Jacob Stephan: Hey, guys. Thanks for taking my question. Congrats on the solid revenue growth here year-over-year. You talked a little bit about your Michigan facility here. I’m just curious to hear, how is that facility ramped over the last few months here and how do you think about your capacity utilization there currently?
Brigitte de Vet: Yeah. So, I can take that question, Jacob. It’s good to talk to you again. Yeah. So we’re very pleased actually with the ramp up of the Michigan facility. Opening up a new metal facility is never easy. But we are very proud that, first of all, in the preparation of the opening, we did stick to our timelines all the way through opening the facility in August and we also managed to ship first cases in August according to our plan. The ramp up is going very well and we are therefore in 2024 already considering additional investments in that facility. So we are very pleased with the results there. And as I mentioned earlier, the big advantage is that with these shorter lead times, we’re able to opening up new patient segments. So, new segments of the market and that is driving our growth, and we will continue to do so in 2024.
Jacob Stephan: Okay. Awesome. That’s great to hear. Maybe just a touch deeper on the 2024 guidance. I’m curious how you’re thinking about kind of growth in the Manufacturing segment. You have referenced kind of prototyping weakness over the last couple quarters here. But are you expecting that weakness to continue, it sounds like you’re signing some nice partnerships in the aerospace market, which we’ve heard has been strong. But just curious how you’re thinking about kind of the prototyping market and where that stands entering 2024.
Brigitte de Vet: Yeah. Yeah. So I always like to differentiate between the prototyping and the end-use parts market because the dynamics are indeed different. Now if I look at our Manufacturing segment as a whole and the market that we’re serving there, the prototyping market has been under pressure and it’s mainly related to the macroeconomic difficulties and some other market dynamics. I would expect those to stay difficult throughout the year 2024, at least for a good part of the year 2024. The dynamics in the end-use parts are slightly different in the geopolitical environment and the macroeconomic uncertainties impact as well. But we need to take a more granular look in that segment at where we can find pockets of investment that do exist in that market. And I mentioned the aerospace segment, which has been a successful one for us and many other players over the last couple of years and there are others that we will be focusing on. So, it’s really for us in our Manufacturing segment, despite the more troubled market environments that many of us will still be in, I believe in the growth by focusing on those selected segments that we can benefit from. Prototyping is such, I mean, your question specifically goes to that, the market will stay difficult. Now, admittedly, I still am very convinced that with our differentiating position that in 2024, we can continue to grow on that side as well.
Jacob Stephan: Okay. And just one last one for me here on Software. You could talk a little bit about your strategy, maybe how has your distribution strategy changed, are you kind of sticking with a direct sort of sales force, are you using a reseller model here? Just curious how you’ve kind of adapted over the last six months to 12 months here?
Brigitte de Vet: And that is on the Software segment specifically?
Jacob Stephan: Yeah.
Brigitte de Vet: Yeah. So the software segment specifically, we’ve always used a multitude of channels. So we have a direct sales model combined with a channel model, and obviously, a close partnership with our OEM partners as well will help us put the products in the market. And we have continuously been doing that over the last couple of years and I expect us to follow that same mix of strategies going forward.
Jacob Stephan: Okay. Great. Thanks for all the color. Best of luck going forward here.
Brigitte de Vet: Thank you, Jacob.
Operator: Please stand by for the next question. The next question comes from Alexander Craeymeersch with Kepler Cheuvreux. Your line is open.
Alexander Craeymeersch: Hi. Hello. Alexander speaking here. Congratulations, Koen and Brigitte, and the whole team on the nice profit this year. I was just interested in -- I have had two questions. So one was on the capacity expansion in the U.S. and ACTech. On the ACTech facility, don’t you think that the capacity that is coming on live in H2 this year, at least it was planned that way originally, will not -- will that not put extra pressure on the margins? And then next to that, I would also ask how much capacity we need to foresee for these plans both in the U.S. and ACTech in 2024? And then maybe in the extension of that question, maybe how we need to look at the free cash flow generation this year, including the working cap developments? Thank you for that.
Brigitte de Vet: Okay. So that’s a lot of questions. I’ll take the first one talking about the ACTech investments specifically. So, Alexander, you’re obviously right on the short-term, that any additional investment always adds on the short-term some pressure on the margin. At the same time, we -- I think you all know us as a player that invests in the long-term. So we believe in the potential of that business. We actually see that we have missed opportunities because of lack of capacity in the past and that’s what we want to rectify with that additional investment. So beyond the startup phase, the pressure on the margins should be equalized or neutralized. So that was for the first question.
Koen Berges: Maybe I can pick up on your second part of the question, Alexander, and I’m going to split it into two parts, the free cash flow impacts of the facility expansions and then coming back to the working capital evolution. As to answer the question with regards to free cash flow evolution, indeed, in the year 2024, we will see a heavy investment phase, especially with the ACTech plants that we will bring into production. There is already a part of the investments that we have taken in 2023 and even before. But indeed, a fair chunk of the amount will come in the first half of 2024 and that will indeed impact our overall free cash flow generation this year, which, based on the current numbers, will be negative temporarily, just because we do this huge investment, and then we will see as of the second half of the year, we will see the cash flow coming in gradually from startup of the facility. Now, as to the metals U.S. plant, that investment was already taken in the past. There is, as Brigitte indicated, we’re contemplating to do further investments in the plant, but that will be to a minor amount compared to the initial investment and certainly compared to ACTech. Second question with regards to working capital evolution, that is certainly something that we will be monitoring more closely going forward. As we are growing, we see an increased need for working capital requirements. But we do want to focus further on this in order to keep a healthy operating cash flow and support further our free cash flow generation in the coming months and years ahead of us. I hope that answers your question.
Alexander Craeymeersch: Yeah. Okay. Thank you very much.
Brigitte de Vet: Thanks, Alexander.
Operator: Please stand by for the next question. The next question comes from Troy Jensen with Cantor Fitzgerald. Your line is open.
Troy Jensen: Hey. Thank you for letting me ask the question and congrats on the nice results here. Maybe start with Brigitte here. So I know you’ve been on board now for three months. Had some time to look at different aspects of the business here. I’m just curious, what would you change now or potentially do better versus what Fried was doing -- Fried and Peter’s leadership? And I know they’re listening, so be careful what you say.
Brigitte de Vet: I know. Thank you, Troy, and thanks for joining the call today. So, well, first of all, I want to stress that it’s been six weeks in the new role. So it’s still very early days. I knew you were going to ask the question, which is why I also added some remarks on how I look at things. And I also clearly highlighted the priorities for us in 2024 after my first look at how things are going. And it’s clear that the three priorities clearly are Medical growth that, we want to keep the momentum in Medical. So the growth potential is there and we want to make sure that we realize that. On the Software and the Manufacturing side, I mentioned that, we want to focus on capturing the opportunities and it’s maybe to answer your question a bit more specifically, what is the biggest change? It’s maybe a bit more of a focused approach, focusing on there where we do see growth opportunities, despite the environment that we see. And with that focus generating or driving the growth in revenue and that will be critical that we stay focused on that, because our growth ambition is there and is real, and I think it’s based on the potential that we have in the market. So I hope that answers your question.
Troy Jensen: Yeah. No. Very good. So let me get just the Medical business too. So if you look at total guidance, you have 4% kind of at the midpoint, but you said all three segments are going to grow. I mean, Medical has just been killing it, right? So you just had record revenues, you had record EBITDA margins. Yeah, I’d be curious to know, the applications that are driving it currently, and then, if you’ve been growing 15%, 18%, 20% of the last three years in this Medical business, it seems like you’re forecasting it to slow down. So is that just conservative guidance or some thoughts, please?
Brigitte de Vet: Yeah. So it’s really two questions, if I understand you correctly. One is the mix of markets in which we grow, and the second is, more specifically towards, our guidance going forward. Now let me answer the second one -- the second part of your question first, because I’ll help us on the first part of your question. So I highlighted in our current results or in the 2023 results that we saw Software sales to medical device companies, which is an important segment for us and that will weigh on our revenues in 2024. So, that plays into our guidance for 2023 -- for 2024, specifically for the Medical segment. The same obviously accounts for our Software segment, but that has an impact on the Medical segment. Now, when it comes to a couple of the segments in which we see the growth, the nice thing for us is that it’s really a healthy mix of different segments, which makes it balanced, and therefore, takes a bit of risk, hopefully, out of the equation as well and we really see a combination of our mature segments playing a very important role there. The orthopedic segment is still a very important segment for us. The CMS segment is playing an important role there. And despite the fact that we saw softness in our medical sales, as Koen highlighted in his remarks, we’re still seeing growth there as well, less than previous years, but we’re still seeing growth there towards the research and engineering markets in a broader way. So it’s a healthy mix.
Troy Jensen: Perfect. All right. Thank you for the explanation and good luck going forward.
Brigitte de Vet: Thank you.
Operator: I show no further questions at this time. I would now like to turn the call back to Brigitte for closing remarks.
Brigitte de Vet: Thank you and thank you all for joining us today. As you’ve heard, Materialise has many initiatives underway to leverage and accelerate the growing adoption of additive manufacturing. And we all look forward to continuing our dialogue with you throughout the upcoming investor conferences or our one-on-one virtual meetings or calls. Now if you do have any other questions, please feel free to reach out to us. Thank you all and goodbye for now.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.